Operator: Thank you for standing by and welcome to the First Western Financial Q4 2021 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speaker’s presentation, there will be a question-and-answer session. [Operator Instructions]. As a reminder, today's conference call is being recorded. I would now like to turn the call over to your host, Mr. Tony Rossi of Financial Profile. Sir you may begin.
Tony Rossi: Thank you, Valerie. Good morning, everyone and thank you for joining us today for First Western Financials, fourth quarter 2021 Earnings Call. Joining us from First Western management team are Scott Wylie, Chairman and Chief Executive Officer. Julie Courkamp, Chief Financial Officer. We will use a slide presentation as part of our discussion this morning. If you have not done so already, please visit the events and presentations page of First Westerns Investor Relations website to download a copy of the presentation. Before we begin, I like to remind you that this conference call contains forward-looking statements with respect to the financial performance and financial condition of first Western Financial that involves risks and uncertainties including the impact of the COVID-19 pandemic. Various factors could cause actual results to be materially different from any future results expressed or implied by such forward-looking statements.  These factors are discussed in the company's SEC filings, which are available on the company's website. I would also direct you to read the disclaimers in our earnings release and investor presentation. The company disclaims any obligation to update any forward-looking statements made during the call. Additionally, management may refer to non-GAAP measures, which are intended to supplement but not substitute for the most directly comparable GAAP measures. The press release available on the website contains the financial and other quantitative information to be discussed today, as well as the reconciliation of the GAAP to non-GAAP measures. With that, I'd like to turn the call over to Scott. Scott.
Scott Wylie: Thanks, Tony, and good morning everybody. Our fourth-quarter performance capped another strong year of delivering in the vision we communicated at the time of our IPO in 2018. As we saw in Q3, it's quite a bit of noise in the reported numbers what we will unpack for you today. We continue to realize more operating leverage and improve our level of profitability as we scale the company through a combination of organic growth, expansion, and accretive acquisitions. By successfully striking a balance between the new business development and risk management, we've generated exceptional growth while maintaining pristine credit quality despite the impact of the pandemic. It's a testament to the value proposition that we offer, that we've continued being able to generate strong growth by adding new clients that present us with very high-quality lending opportunities that meet our strict pricing and underwriting criteria while funding those loans with low-cost deposits.  The success we've had in executing on our vision for First Western has created exceptional value for our shareholders. Since our IPO in mid-2018, our tangible book value per share has increased by 116% with more than 20% increase just in 2021. We ended 2021 with another quarter of exceptional balance sheet growth driven by the strong commercial banking platform we built over the last two years. And in the growing contribution of new offices and bankers that we've added. A record quarter of loan production, excluding PPP loans, resulted in organic growth of 25% on an annualized basis in Q4. Our highest level since coming public. Well, organic deposit growth was also strong at 10% annualized. Our asset quality remains exceptional with non-performing assets declining to 17 basis points of total assets in another quarter with an immaterial amount of net charge-offs.  Complementing the strong organic growth was the completion of our acquisition of Tieton Financial Services, just over five months after announcing the transaction. At the time of the announcement, we estimated that the transaction will be slightly diluted to tangible book value with an earn-back period of just under half a year. As a result of a higher stock price and slightly lower deal costs, that transaction is accretive to tangible book value, which further improve the attractive economics of this deal. The integration is proceeding smoothly announced schedule, including the trusted mortgage systems that have already been integrated. We said the core banking system conversion and consolidation of the Jackson Hole locations for May Moving to slide four, pre-tax earnings this quarter were impacted by acquisition-related expenses, excluding those expenses, earnings were down from the prior quarter, primarily due to a lower level of mortgage activity given the seasonal slowdown, we see at the end of the year. We also saw a higher provision due to loan growth in Q4 further impacting Q4 as reported results.  However, we continue to see strong increases in book value and tangible book value per share driven by our financial performance and the accretive impact of the Tieton Financial services transaction. Turning to Slide 5, we'll look at the performance of our private banking, commercial banking, and trust investment management businesses. This is represented by the pre -tax earnings of our wealth management segment. On a year-over-year basis, our pre-tax earnings increased 90% in this segment. After the outsized earnings we generated in the mortgage business in 2020, we're seeing our other businesses billing in that earnings GAAP, so to speak, with a more sustainable source of earnings growth while our mortgage business returns to its intended role as a complementary source of fee income. Turning to Slide 6, we look at the trends in our loan portfolio. The Teton acquisition contributed $252 million to our period end balances. This amount includes our preliminary purchase accounting adjustments.  There could be some small additional adjustments as they are finalized but nothing particularly material is expected. As it stands now, the loan marks are lower than what we had initially expected when the deal was announced. On an organic basis, we had $225 million in loan production this quarter which was a record level and 68% higher than the prior quarter. Loan payoffs were also higher than the prior quarter at $122 million, but the strong production more than offset the runoff and resulted $98.5 million in net organic growth -- loan growth, which increases across most of our portfolio. The strongest growth came in our commercial real estate portfolio where there's more demand in the current environment. Over the longer term, we remain focused on growing our C&I portfolio at a faster rate than our other portfolios, but we have the broad business development capabilities to enable us to be flexible and pursue whatever asset class provides the most attractive opportunities at any given point in time.  For the second consecutive quarter, our cash securities and other portfolio also grew due to more demand among our private banking clients for investment management secured lines of credit. Although the level -- of growth is masked by the continued runoff of PPP loans that are also held in this portfolio. Moving to Slide 7, we'll take a closer look at our deposit trends. Our total deposits increased $423 million from the end of the prior quarter, with $379 million coming through the Tieton acquisition and $44 million through organic growth. The $60 million temporary deposit that we mentioned on our last call did not run off in its entirety in the fourth quarter as expected. $50 million remained at the end of the year. It is expected to run-off early this year as the proceeds from this liquidity event, our distributor partners of the real estate fund. But we saw some deposit outflows among our existing clients during the fourth quarter.  This was more than offset by our successful new business development efforts that resulted in $110 million in new deposit accounts being opened in the fourth quarter. Moving to Slide 8. We'll look at our progress in building our commercial banking platform, which is providing more loan diversification and improving our deposit base by adding low-cost transaction deposits. Commercial loans increased $95 million from the prior quarter and $213 million from the prior year. Commercial deposits increased $216 million from the prior quarter and $424 million from the prior year. This represents 23% commercial loan growth and 43% commercial deposit growth over the prior year and is reflective of the strong momentum we have in growing our commercial client base. Turning to trust and investment management on Slide 9, our total assets under management increased $1.1 billion or 17.5% from the end of last year. This increase was due to a combination of closing on Teton Financial acquisition, contributions to the existing accounts and new accounts, as well as improving market conditions resulting in an increase in the value of assets under management. During the fourth quarter, new clients accounted for approximately $44 million of our growth in assets under management. With that, I'll turn the call over to Julie for further discussion of our financial results. Julie.
Julie Courkamp: Thanks Scott. On Slide 10, we have provided an update on our participation in the PPP program and how it impacted various metrics in the fourth quarter. As of December 31st, we had $46.8 million in PPP loans remains on our balance sheet, which is a decline of $21.8 million from the end of the prior quarter. Offset by $6.7 million of acquired PPP loans. We recognized approximately 500,000 and fees during the first quarter and had $700,000 in fees remaining to be recognized at December 31st. PPP had a six basis point positive impact on our net interest margin in the fourth quarter. As the PPP loans are forgiven, our borrowings from the liquidity facility that were used to fund the loan originations also declined. At December 31st, our borrowings from the facility were down to $23.6 million. Turning to Slide 11, we'll look at our gross revenue. Our total gross revenue decreased 7.5% from the prior quarter, primarily due to a lower net gain on mortgage loans. With the exception of these net gains, we had increases in most of our non-interest income generating areas.  Turning to Slide 12, we look at the trends in net interest income and margin. Our net interest income decreased 3.1% from the prior quarter, primarily due to a decline in PPP recognized. A decline in interest recoveries and a lower level of accretion income on purchased loans. When these are all excluded from both periods, our net interest margin declined two basis points to 2.9% from the prior quarter, primarily due to new loan production coming on the books at lower rates than the average yield on the existing portfolio. With the successful close of the Tieton acquisition, we should benefit from lower cost of funds of 17 basis points and higher loan yields of 4.74%. The acquired balance sheet added to our excess liquidity on a temporary basis. But as we put more of this liquidity to work with higher-yielding assets resulting from our strong loan production, we should see a positive impact in our net interest margin going forward.  Turning to Slide 13, Our non-interest income decreased 9.1% from the prior quarter due to the decline in net gain on mortgage loans. This was partially offset by increases in most other areas of non-interest income, as well as an approximate $500,000 net gain on equity interest. We continue to see steady growth in our Trust and Investment Management Fees, which for 6.8% higher than the fourth quarter of 2020. On Slide 14, we have provided some additional detail on our mortgage operations. Our volume of mortgage locks declined by 39% from the prior quarter due to both a drop in refinancing volumes, and the seasonally slow period for the purchase markets. The mix of production continues to move back towards our historical range with purchases accounting for 59% of production in the fourth quarter. As we indicated on our last call, we reduced our fixed expenses and the mortgage group to reflect the lower level of volumes that we are now seeing relative to 2020. From Q1, 2021 to Q4 of 2021, our fixed expenses in the mortgage segment were reduced by 29%.  Turning to Slide 15 and our expenses. Our non-interest expense increased by 24.7% from the prior quarter, primarily due to higher acquisition-related expenses which were recorded in our data processing professional services, and salaries and employee benefits lines. Excluding acquisition-related expenses, non-interest expense increased due to higher bonus accruals related to our strong loan and deposit production. On an adjusted basis excluding acquisition-related expenses, our efficiency ratio increased to 71.8% from 63.7% in the prior quarter. Looking ahead, while our overall expense levels will increase due to the acquisition of Tieton, our efficiency ratio should return to the mid-60. We continue to look for opportunities to realize additional cost savings from the combined remainder of our operations. During the first quarter, we will be consolidating our Lone Tree office into one of our nearby Denver offices.  Lone Tree was an office that was added in the Simmons Bank acquisition and we waited until the lease expired to do the consolidation, which will result in a small amount of cost savings. Over the first half of 2022, we expect our operating non-interest expense, quarterly run rate, to be in the range of $19 million to $21 million. Turning to Slide 16, we'll look at our asset quality. We continue to see positive trends across the portfolio. Our non-performing assets declined to 17 basis points of total assets from 21 basis points at the end of the prior quarter. And we continue to see minimal losses in the portfolio. We recorded a provision for loan losses of approximately $800,000 which is related to the growth in total loans. This brought our adjusted ALLL which excludes PPP and acquired loans to 88 basis points of total loans at the end of the quarter. Now I will turn the call back over to Scott. Scott?
Scott Wylie: Thank you, Julie. Turning to Slide 17, I'll wrap up with some comments about our outlook and strategies. Three priorities for 2022. Before I do though, I would like to mention that we filed a mix shelf earlier this month. This was something we always planned to do at some point following our IPO. And it's just a procedural step to have this in place should the need arise in the future. Now I will turn it to 2022. We believe we're very well-positioned to deliver another year balance sheet and EPS growth resulting from both strong organic growth and the accretive impact of the Tieton financial services acquisition. With adjusted NIM only down two basis points in Q4, NIM should improve in 2022 with rising rates, loan growth, reducing our excess liquidity, and the addition of lower-cost deposits and the higher-yielding loans acquired from Tieton. Our loan pipeline remains very healthy as we start 2022.  And with the increasing production from the strong commercial banking platform we built, we believe we'll generate another year of mid-teens loan growth as our mature profit centers continue to add new clients and our new offices opened up in the past few years continue to scale and make larger contributions. And the recent investments that we made in the team -- to build a team in Bozeman, Montana and the strength of our existing team in Arizona, should help these markets make a larger contribution to our growth this year. While we continue to generate strong organic growth, we'll also be focused on fully realizing the synergies from the Tieton acquisition. We've always taken a conservative approach to the integration of our acquisitions, making sure that we provide a seamless transition, so that we retain all the key personnel and ensure there's no disruption to the clients. And so far, with respect to the Tieton acquisition, we've been successful in this regard.  As we indicated earlier, once the core banking system conversion and the brand's consolidation are complete in May, we'll start to see a majority of the cost saves and the creative impact of the merger. And though we didn't model any revenue synergies, we believe we have a number of opportunities in this area. Our formula for driving organic growth will continue to include investment in new banking talent and expansion in attractive markets where we believe our value proposition will be well-received. We have a target opening up one or two offices -- new offices a year and we're looking at opportunities both within our existing footprint and the new states that have markets with demographics that are a good match for our private and commercial banking services. With the increased scale that we have on the Teton acquisition, we have the ability to continue investing in new talent and technology while realizing improving operating leverage. Part of our technology strategy includes investing in fintech firms this year so that we have better insight in the innovations in the FinTech space that will help inform our technology road map and determine which new applications or features we want to incorporate into our digital banking platform.  And later this year, we're consolidating our investment management and trust systems into a single, more robust platform that will provide additional capabilities along with improved efficiencies from no longer running these two areas of the business on separate systems. From a balance sheet perspective, we believe we're well-positioned to benefit from rising rates. Although it's always been our policy not to make bets on the direction of interest rates, just from the way the bank has evolved over the past several years with more variable-rate commercial loans and a higher mix of non-interest-bearing deposits, we have become more asset sensitive. With the improvement in our deposit base. We expect to have little or no deposit base beta up on the first couple of rate hikes. And with our high level of liquidity, we have good opportunities to improve our mix of earning assets as we continue to see strong loan growth, the low deposit beta and improved earning asset mix should enable us to see some expansion in our net interest margin this year, which will be another catalyst for earnings growth and improved returns. In 2022, we'll also remain active with our M&A program.  Even when we closed and started the integration of Tieton merger, we've been evaluating additional M&A opportunities, and we're well-positioned to execute on any other transactions that we believe can strengthen our franchise and create long-term value for our shareholders. In closing, economic conditions in our markets are strong. We're executing well in all areas of the organization, and productivity in our business development team continues to increase. We'll see increasingly positive impact from the Teton acquisition, as we move through the year. We have good opportunities to continue expanding our franchise by growing our current offices, opening new offices, entering new markets, and executing on additional strategic transactions. Increasing shares outstanding tangible book value and market cap should all support shareholder value growth. And we're well-positioned to benefit from rising interest rates. As a result, we're very confident in our ability to continue generating profitable growth and enhancing the value of our franchise in 2022 and in the years to come. With that, we're happy to take your questions, very pleased to open up the call.
Operator: Thank you. Again, ladies and gentlemen, [Operator Instructions]. Again [Operator Instructions]. One moment please. Our first question comes from Brett Rabatin of Hovde Group. Your line is open.
Brett Rabatin: Hey, good morning everyone.
Scott Wylie: Morning Brett.
Brett Rabatin: Wanted to first ask, on the expense guidance, can you talk about the $19 million to $21 million? Is that -- I assume that's the level for the first quarter. And then with the expense savings transpiring throughout the year, that -- maybe that number flattens out. And I don't know if there is any comment you could give on the inflationary pressures many are having, but want to make sure I understood the guidance of $19 million to $21 million, how that transpires throughout the year.
Julie Courkamp: Sure. I can take that, Brett, and good morning. So that would be our operating. We've tried to exclude any additional expenses that are coming through that are acquisition-related to give you a base line number. However, in May, we should see, with the consolidation of systems, a little bit more benefit in our expense reduction from the acquisition. We saw some in the first part of the first quarter and then a bit more will happen at the end of May. Overall, we would expect it to come down slightly or level out. However, we are still investing in the business and in new offices throughout the rest of this year as part of our plan. So I think that you'll see a little bit of a dip going into the third quarter but we are still planning to be actively working on building the business as well.
Brett Rabatin: Okay. That's helpful. And then just thinking about the margin, I know your disclosure last quarter was like 4.4% for a 100-up environment. Can you talk -- can you give us, maybe how much in the loan portfolio is variable rate? And how much reprices in the first 90 days of a Fed hike? And maybe how much might be -- of the portfolio might be below floors?
Scott Wylie: Julie, I think you have those numbers.
Julie Courkamp: Just -- and so our portfolio is about 31% variable rate, of those variable rate loans, about 36% of those are below their floors. So taking all that into account, we would expect about four basis points increase in average loan yields from the first-rate hike of 25 basis points. The impact gets larger as you continue to see additional rate hikes. So as more of those variable rate loans come off their floor, as we should be seeing quite a bit of improvement from there. And then as Scott mentioned, we're not expecting for the first couple of rate hikes, significant changes in our deposit costs. So you can take that into account
Brett Rabatin: And then maybe just one last one on M&A. Scott, you talked about still remaining active, and it sounds like you're engaged in maybe some conversations. Would M&A from here for you be potentially new markets, do you think, or would it be more in-market type situations?
Scott Wylie: While we look at those, we have a list of priorities, combinations that we think make sense and we have active conversations with those folks and some of them are in market, some of them are adjacent. None are out of a market that would make sense given what we've done historically. I think they're all consistent with the way we approach this. As you know, these things get sold, not bought so.
Brett Rabatin: True.
Scott Wylie: We have a lot of lines in the water and I don't know whether it's something would happen in 2022 or not. But typically, you don't know going into the year, right? I mean, it's a project that we keep working on it. It's a priority for us and we think that the combination of Solid organic growth and expansion and acquisition all play really nice to each other. And if you can find an acquisition that fits in this appropriate value, great. And if you can't work going to see some good organic growth anyways.
Brett Rabatin: Okay, great. Appreciate the color.
Operator: Thank you. Again, ladies and gentlemen, to like to ask a question, Operator Instructions]. Our next question comes from Bill Dezellem of Teton Capital. your line is open.
Bill Dezellem: Good morning. Let's start with the mortgage side of the business. And how are you thinking about mortgage originations in '22 versus '21?
Scott Wylie: Think we would start the answer there, Bill, by reminding everybody that this is as not a big growth focus for us. Given the big headwinds in that business that we expect to continue into 2022, it's a profitable strategic business for us. And we have room to continue to improve the profitability there. As we have seen, improving margins actually in 2021. So we certainly have opportunities in new markets that should be helpful from a production standpoint. The purchase market is healthy. There's a lot of demand, not a lot of supply. I was expecting some of that supply to come back in sooner than what we're seeing. But maybe in the spring season here we're going to see more supply. Certainly we're not anticipating much activity in [Indiscernible] as rates go up.  We are starting to originate and sell directly to agencies now which will get us better execution and help us continue to improve our margins. Overall, we're probably looking at production volumes similar to 2021 but we continue to improve the profitability of the business. I also would just point out and you can see this in the numbers in the deck that due to our strong non-mortgage growth, mortgage revenues as a percent of our gross revenues are down by something like 50% since 2020. So I think the great year we had in 2020 in mortgages, we said one of the challenges for 2020, we wanted to replace that with [Indiscernible] business and we've gone out and done that big time.
Bill Dezellem: Excellent. So if I may summarize just to make sure I'm fully grasping here. You are believing that your total origination volume will be above '21's volume, but you are also anticipating that your profitability will be higher, just because of the expense management that you've been doing, is that correct?
Scott Wylie: I think if you assume it's flat year-over-year, that's going to be a safe assumption.
Bill Dezellem: That's fair. And let me ask this, because many of your markets are destination markets, are you thinking that the activity levels are going to be stronger in terms of sale activity of residences than in other places around the country or is that -- am I stretching too far?
Scott Wylie: Yes. I think where we are today in the resort markets, if that's what you're referring to, which would be kind of Jackson, Aspen, and [Indiscernible]. That's a very small percentage of our mortgage business. The great majority of our mortgage originations are in the front range and I mean, I hate to keep saying this, but I don't to continue to hope it's true that you will be able to develop a nice Arizona mortgage business to complement what we have in Colorado would be a big benefit for us both in terms of volumes. And getting in front of this ongoing purchase wave down there. And also, in terms of seasonality in offsetting our natural seasonality that we have here in Colorado.
Bill Dezellem: And did we hear in your opening remarks that you have made hires in the Phoenix market and if so, were those mortgages related or other parts of the business?
Scott Wylie: We've been focused, in the past six months or so now, on building a stronger core banking team there. And so we've actually made some hires there and with more to come in 2022, we think that that's an area of significant opportunity for us. If we had the same market share in the Phoenix MSA that we have here in the Front Range, we'd be a much larger bank than what we are today. So we think there's a lot of opportunity there and that is an area we have been investing and I would expect to see that continue into 2022.
Bill Dezellem: Great. Thank you. And then a question from a point of ignorance. You closed the Teton acquisition earlier than anticipated, and you did mention that it's accretive to book value now. Is there any aspect of that that implies that the earnings accretion will end up being greater than anticipated in '22 or even longer-term?
Scott Wylie: So when we announced the economics of the deal that summer, we announced some expectations in terms of cost saves. And there is accretion. And we don't know anything today that would make us think differently than we did then. We did not include any revenue synergies in that, and I think we all know that there will be revenue synergies. I'm pretty confident about that for what we don't today, we have a higher legal lending limit. So that enables us to do larger loans at First Western, enables us to do larger loans for our legacy Rocky Mountain bank clients. And then of course, what we have found so far is a really nice cultural fit between the associates that we brought on through this transaction, and then also the clients. And so there's going to be a lot of cross-selling opportunities providing more our tools out of the First Western toolkit, which is just larger than a normal community banks toolkit. I just also would take the more bills if you don't mind to call out the teams that have worked on this. I mean, I think the legacy Rocky Mountain bank folks have been terrific and working through this transition. And our team here has. Worked really hard with 22 transition teams working since last summer to be ready for this December close, which as you say, closed ahead of schedule with our favorable numbers and excellent accretive to capital are really nice setup for 2022.
Bill Dezellem: Great. Well, thank you and congratulations to all involved.
Scott Wylie: Yeah. Thank you.
Operator: Thank you. Our next question comes from Brad [Indiscernible] of Coral Capital. Your line is open.
Unidentified Analyst: Great. Thank you. Yeah. A couple of questions here. One regarding your Trust and Investment Management Fees. It looks like they were up about 6% for the year at a time when the [Indiscernible] was up on a 29%. I was thinking you'd maybe have greater growth in that area given that strong appreciation in the broader market. Can you just give me some color?
Scott Wylie: Sure. You know what? $7.5 billion or so in assets under management today is concentrated on conservative portfolios. And so we don't track the S&P typically. We'll track -- our goal is to try and capture about the market gains on the upside. And if so, they have a 60-40 mix or an 80-20 mix or whatever. You see a lot less than what the S&P or NASDAQ is going to do just on an equity portfolio. I think we grew 19% or something like that last year. It was in the announcement -- in the slide deck of the growth through the year. If you're looking year-over-year, remember that we had a fixed income manager team based in LA that we call ed First Western Capital Management that we sold at the end of 2020. And I think there was something like a little less than $1 million in revenues that went out the door there. And so the actual adjusted year-over-year, you'd have to factor that out.
Unidentified Analyst: Got you. And looking at your mortgage banking numbers and taking it in context with the expectations that volumes may be the same for '22 versus 21, looking at 2021, you started the quarter with $500 million originations for sale and it steadily went down to less than $200 million in the fourth quarter. To equal those volumes, that basically means a very steep ramp from fourth quarter originations. Is that -- am I reading this correctly, that you do think those originations are trough levels in the fourth quarter and due for a substantial increase in the quarters in 2022?
Scott Wylie: Well, that's certainly the history. We see a lot of seasonality in our mortgage business. I actually think that you raise a number of good points there, and if I could direct you to page 14, I think that this slide has a lot of information embedded in it and understanding how the stuff sort of interplays, is helpful to answer your question more directly. So in the lower left-hand corner of Page 14, it shows Originations. Originations, are for the activity that comes out at the end of the funnel but you actually book revenues and mortgages off of locks and that's the chart on the lower right-hand corner. And as you look at that, you can see the repeat this year as volumes really just need to do similar numbers that we did in Q2 and Q3, which I think are achievable for us from what we know today, I mean, who knows, right? What's going to happen with rising rates and if the supply is going to be there to meet the demand and all that. But based on our plans to continue to build our MLO team and our improved margins, we think we can produce locks at a similar level to last year.  And in the upper right-hand corner, I think, is instructive because at the end of the day what we really care about here is not so much volume, it's profitability. And if you look at the volumes in the lower right-hand corner -- if you look at the revenues on the upper right-hand corner, you see that we've actually improved our margins and we've cut our fixed expenses. We were doing $3.1 million in expense in the first quarter, fixed expense, and we brought that down to $2.2 million in Q3 and Q4. And I have to tell you, you know, if we're going to see volumes dropping in the $150 million, $200 million lock range in next year, we certainly don't need $2 million, $2.2 million in expenses. So we can drive profitability. I think we've proven that we can do that in spite of shrinking volumes.
Unidentified Analyst: Got it. And lastly here, I know there was a lot going on in the fourth quarter and it seems like the first quarter and second quarter of 2022 will be a little muddled with some of the merger accounting and charges. And it seems like third quarter of 2022 may be a clean quarter. All cost saves or most cost saves have been achieved. Is it safe to assume that you're probably back to that 125 ROA run rate or maybe a little bit better around that level?
Scott Wylie: That's a great question. I said it before here, and I think it bears repeating that we are a relatively small company and a little bit of noise goes along way on our potentials, and so I think the extent that we can look beyond the quarter at the trends, there's some very positive trends going into 2022. I mean, we're a much larger Balance Sheet. We're seeing lot of good growth opportunities. We're putting up really strong growth numbers. We're seeing great economies in all of our markets. So lots of opportunity there. We're seeing First Western succeeding competitively. We are outperforming our peers; our Balance Sheet is very strong going into 2022 with good organic growth and good expansion opportunities. And I think we've proven that we're good acquirers and we know how to do that successfully, being the numbers that are remained to be expensed related to Teton are not significant. I mean, that's going to be a relatively small factor into 2022. Our mortgage profitability we think is manageable. The consensus estimates that are out there seem reasonable to us. So we think that this Q4 downturn is not a trend. This is combination of mostly positive things that are showing up in the Q3 and Q4 numbers and I think that looking through that, we see a positive outlook for '22.
Unidentified Analyst: Great. Thank you. Appreciate it.
Operator: Thank you. Our next question comes from Matthew Clark of Piper Sandler. Your line is open.
Matthew Clark: Hi. Good morning. Just want to hit on the margin outlook here in the near-term, putting the two banks together and the excess liquidity that comes along with Teton. Are there any balance sheet changes you're making since the deal closed? And how should we think about the core NIM here in the upcoming quarter just given the remix that's likely?
Scott Wylie: Well, your question is right. NIM was only down two basis points on an adjusted operating basis from 292 to 290 as Julie mentioned in her comments. If you go to Slide 12 -- I think it's a little confusing. So if I could just walk through that like I did on that other mortgage slide, that might be helpful. If you look at Q3, and you exclude PPP and the interest recovery and accretion noise, that number which shows on the Chart 314, 306 is actually 292. That's the 292 Julie referenced. And then you do the same thing in Q4, you get a 290. And I know the 292 is printed there and is the same number by coincidence as the adjusted number in Q3, but that's how you get to that number. And then looking forward to your question, we're a rising rate environment. If rates go up -- short rates go up 1%, that's another $4 million in interest income for us. And then you've got Teton coming on our books at 474 average yields, right? That's like originating $250 million on December 31st at 474.  There are some pretty good embedded NIM trends, just in what we've already done and then we're seeing better rates already on new production in Q1. Another interesting thing, the last two years, we've had a really strong loan production of fourth quarter, and then we come out really weak in Q1. And then we're kind of behind our trend line that we'd like to see through the year. And so this year we said, let's don't do that. Let's focus on closing and building the pipeline for Q1. And we actually ended the year, where the pipeline, I think about the same as it was going into Q4. And so we're hopeful that we're going to see a nice organic growth in Q1. In addition, which obviously sets you up for a better year than if you're starting flat if you want.
Julie Courkamp: And to your liquidity question, we have -- if you look at our liquidity ratio, you could argue that we have about $200 million of excess liquidity on the books in cash. That pipeline is -- really hoping to use that cash in that pipeline that Scott just talked about in the loan growth to see improvement in the margin from that as well.
Scott Wylie: Yeah. Great point, Julie.
Matthew Clark: Okay. Great. Thank you. And then -- yeah, that's great. Thank you. I missed some of the earlier comments around the margin. And then just on M&A, your updated thoughts there in terms of your appetite from a geographic and size perspective now that you guys have gotten this deal closed and integrating.
Scott Wylie: Well, we do have an active corporate development program that continues. We have lots of lines in the water. I would tell you we've raised our sights a little bit. At $2.5 billion and if we experienced our kind of normal growth this year, we're getting near three at the end of the year, doing $1 billion acquisition, I think probably makes more sense now than they might have before and so we have broadened or really just raised the size of deals that we're focused on -- the potential partners that we're focused on. And we have a number of high-priority projects that we're working on. As I said a minute ago, I mean, these things do get sold, not bought. And so we build the relationships and hope that that time is right for the sellers to do something when it works for us -- under terms that work for us.  I mean, we've also had a number of deals that we've looked at that makes sense from a strategic standpoint but the pricing doesn't make any sense. So we have a long history, I think of doing these things in a way that add value. Certainly that's true with the mortgage purchase we did three years ago. It's certainly true with the brands purchase we did last year. And our new partnership with Teton folks, I think is just going to be another home run added to the recent deals we've done. Is there something you wanted to add there, Julie? You look like you were getting ready to --
Julie Courkamp: Well, I was going to add that, notwithstanding the hope that we can find another deal, we're working on incubation and a couple of offices as well. Things we can control. We are working on continuing to grow the office space that we have today.
Matthew Clark: That's great. Thank you.
Operator: Thank you. I'm showing no further questions at this time. Let me turn the call back over to management for any closing remarks.
Scott Wylie: Well, I think we hit on all the main point in the question and the prepared remarks. I mean, I do think that there's a lot of noise this quarter and you all have asked some really good questions about the nature of that. But we don't look at Q4 as a trend into the future. I think, it's a nice setup for 2022, where we've ended the year, means that we're in a really good place starting the new year and we're optimistic about the company's outlook, both in terms of organic growth expansion and acquisition into 2022. So thanks everybody for taking the time to listen today and participate and we sure appreciate the support. Thank you.
Operator: Thank you. Ladies and gentlemen, this concludes today's conference. Thank you all for participating. You may now disconnect. Have a great day.